Operator: Good morning, and welcome to the Restaurant Brands International Third Quarter 2022 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I’d now like to turn the conference over to Kevin [indiscernible], RBI's Head of Investor Relations. Please go ahead.
Unidentified Company Representative: Thank you, operator. Good morning, everyone, and welcome to Restaurant Brands International's earnings call for the third quarter ended September 30, 2022. As a reminder, a live broadcast of this call may be accessed through the Investor Relations web page at rbi.com/investors, and a recording will be available for replay. Joining me on the call today are Restaurant Brands International's CEO, José Cil; COO, Josh Kobza; and CFO, Matt Dunnigan. Today's earnings call contains forward-looking statements, which are subject to various risks set forth in the press release issued this morning and in our SEC filings. In addition, this earnings call includes non-GAAP financial measures. Reconciliations of non-GAAP financial measures are included in the press release available on our website. During portions of the call today we'll be referencing three year comparisons for system-wide sales, growth and comparable sales to provide a cleaner indication of how the business is trending versus a more normalized period. The three-year comparisons are calculated on a geometric stacked basis by using the 2020, 2021 and 2022 disclosed growth metrics. In addition, the consolidated growth metrics discussed during the prepared remarks including consolidated system-wide sales growth, net restaurant growth and organic adjusted EBITDA growth, exclude results from Firehouse Subs, which we acquired on December 15, 2021, to reflect comparable year-over-year growth figures. And now, I'll turn the call over to José.
José Cil: Thanks, Kevin, and good morning, everyone. Thank you for joining us on today's call to discuss our results for the third quarter of 2022. This quarter, we saw the key pieces of our plan continue to come together and foster meaningful growth across our brands and regions. With year-over-year comparable sales up 9%, system-wide sales growth of 14% and 8% organic adjusted EBITDA growth, or 10% excluding an estimated impact on adjusted EBITDA related to Russia. These results were primarily driven by strong performance across our Tim Hortons Canada, and Burger King International businesses; improvements in the U.S. at Burger King, Popeyes and Firehouse Subs; continued growth in digital sales globally; and development progress. Turning to a few highlights from the quarter. During the third quarter, we grew consolidated year-over-year comparable sales by 9%, driven by 11%, comparable sales at Tim Hortons Canada, 15% comparable sales in our Burger King International business, and sequential improvements at Burger King, Popeyes and Firehouse Subs home markets. At Burger King U.S., we saw 4% comparable sales and continued to narrow the sales gap to peers. Our digital channels also continued to contribute to our sales growth this quarter with global digital sales up 26% year-over-year to nearly $3.4 billion, capturing a third of consolidated system-wide sales. We also made solid development progress during the third quarter with Popeyes once again a standout and well-positioned for another strong year. As we look ahead, we're confident in our long-term pipeline and expect to see our development mix strengthen, bringing Tim Hortons and Popeyes to more and more markets around the world while also ramping Burger King back to historical levels over time. The combination of comparable sales and net restaurant growth helped drive Q3 system-wide sales to $10.1 billion, up 14% year-over-year, excluding Firehouse Subs and organic adjusted EBITDA growth of 8% or 10%, excluding the estimated impact on adjusted EBITDA related to Russia. Our strong free cash flow generation this quarter provided us with flexibility to reinvest in our business, while returning capital to shareholders. During the quarter, we continued our commitment to shareholder returns, delivering over $240 million, representing the 40th consecutive quarter of year-over-year dividend growth. Our industry-leading dividend remains a key component of our capital allocation strategy. And as such, we're committed to maintaining our dividend and will look to continue growing it on $1 per share basis with our business over time. Before diving into brand results for the quarter, I want to highlight another important milestone from the quarter. As many of you know, in September, we unveiled a Reclaim the Flame plan designed to engage our Burger King fans and create new ones and accelerate traffic and sales growth and drive franchisee profitability at Burger King U.S. It was critical that we work together with our franchisees to create a thoughtful, well sequenced plan aimed at improving our guest experience at Burger King, a plan that franchisees and their team members will be proud of, stand behind and be energized to execute against. It was also important to demonstrate our confidence in the plan, which is why we committed to making a $400 million corporate investment over the next two years. This investment will help us increase our advertising firepower, drive higher quality restaurant improvements and remodels, and support incremental technology and digital investments. While still early days, I'm incredibly proud of the work done by the Burger King U.S. team together with our franchisees to develop this plan, and I'll share a bit more detail with you later in the call. I'd also like to acknowledge something we're all fully aware of, the continued macroeconomic pressures impacting our industry and our franchisees. These include ongoing commodity and wage inflation and rising interest rates. We continue to work closely with our franchisees directly and through owner advisory boards and franchise councils to identify opportunities to address pressures within our control, to leverage our scale and buying power and to use pricing strategically, when and where appropriate, and always being guest-led. While these pressures are certainly also impacting consumers, we've been pleased to see continued engagement with our brands, a testament to the resilience of our business model and the strength of our value proposition. Looking ahead, we remain focused on driving profitable sales growth for our franchisees and feel confident in the plans we have across all our brands to engage our guests, drive traffic and sales, and improvements in franchisee profitability going forward. Turning to brand performance, we will start with Tim Hortons Canada. In September, I had the pleasure of joining Axel, the Tim Hortons team and about 2,000 participants across Canada, the U.S. and other parts of the world for the first in-person Tim Hortons Convention since 2019. Axel and the Canadian team shared the next steps of the Back to Basics plan to engage guests and accelerate growth, with a focus on growing PM food, as well as cold and espresso-based beverages. I enjoyed having the opportunity to spend time with so many of our restaurant owners and was encouraged to hear and see their enthusiasm around the next phase of the plan. There is no doubt that much of our owners’ excitement can be attributed to the ongoing improvements we are seeing across the business. Our third quarter comparable sales of 11% year-over-year resulted in a 5% increase versus 2019 levels. These results were driven by continued strength from our core offerings and strong calendar initiatives to extend Tim Hortons into high growth dayparts and products, aided by strategic price increases. The success across multiple pillars of our strategic plan demonstrates our confidence in achieving sustainable, profitable top-line growth over the long-term, even as we continue to see an uneven return to the workplace in many of the big urban centers in Canada. During the quarter, we saw improved performance versus 2019 levels across all dayparts, formats for vanities and regions, including super urban locations, which have narrowed the gap to 2019 sales from down 40% in the third quarter of 2021 to down 5% this past quarter. And although sales from hot beverage remained below 2019 levels, the trend continued to improve sequentially, while the positive sales expansion we’ve seen in key growth categories like food, cold beverage and specialty beverage more than offset this gap. Our core breakfast and baked goods platforms maintained strength with the introduction of our new maple bacon breakfast sandwiches and a relaunch of last spring's successful Canada's favorite donuts offering the Apple Fritter and Boston Cream paired with our freshly brewed coffee. As a result, we are pleased to see that our core food offerings, breakfast and baked goods helped to drive our year-over-year comparable sales uplift during the quarter with added benefit from our cold beverage and PM food initiatives. Our cold beverage lineup featured a re-hit of our fan favorite cold brew and the introduction of pumpkin spice cold beverages. During the quarter, these initiatives helped our cold beverage platform grow by 14% versus 2019 and drive cold beverages to over 40% of total beverage sales from 34% in the third quarter of 2019. As we continue expanding our cold beverage platforms across cold brew, specialty and non-caffeinated, we expect to drive more visits and sales through cold beverages and view our platforms as important complements to the work we are doing to expand the PM daypart. This quarter, we continued to benefit from the June rollout of our Loaded Bowls, which together with Loaded Wraps proved to be incremental to main foods and PM daypart sales year-over-year and versus 2019. In fact, our loaded platform helped drive sales from main foods 40% above 2019 levels, driving our lunch daypart up to plus 15% versus 2019. To take our loaded platform to the next level and add a fall twist, we launched Loaded Chili, an elevated version to the classic Tim Hortons Chili we all know and love. With the addition of our Loaded Chili, our extension into PM food continues to garner excitement from existing and new guests through various service modes, including drive-thru, dine-in and various digital channels. Our strong digital capabilities, including the number one food and beverage app in Canada, have enabled Tim Hortons to better cater towards guests, deliver a great experience, increase brand loyalty and drive over a third of sales through digital channels while growing digital sales dollars. This quarter, we're enhancing our digital experience by rolling out our scan and pay feature that allows guests to leverage one QR code in their Tim’s app to scan for loyalty and pay at the same time. We expect this integration to not only make ordering and paying even more convenient for guests, but to also improve speed of service, especially in the drive-thru. Looking ahead, we see opportunities to leverage our digital platforms to offer new engaging features for guests while improving our existing offerings to provide the best user experience possible. In addition to being a leader in digital in Canada, Tim Hortons prides itself in being a community led brand. This quarter, we celebrated two of our most important and exciting fundraising initiatives of the year, Camp Day and Smile Cookie. Through Camp Day, Tim Hortons restaurant owners, team members and volunteers raised over $12 million Canadian across Canada and the U.S. for the Tim Hortons Foundation Camps. Following Camp Day, restaurant owners then raised a record-breaking $15 million Canadian for more than 600 local charities and community groups through our loved Smile Cookie campaign. The Tim's Canada team and restaurant owners capped off the quarter, raising over $1 million Canadian with the Orange Sprinkle Donut campaign on September 30th, an amazing accomplishment in one day with proceeds going to support indigenous organizations in Canada. I'm incredibly grateful to our restaurant owners who work hard day in and day out for their communities, going above and beyond each year to support these important programs and make meaningful connections in their neighborhoods and their communities all across Canada. Finally, I'd like to touch on the opportunities we see for the Tim Hortons brand around the world. Since acquiring the brand in 2014, we've established our presence in seven new countries and grown our store count outside of Canada to over 1,500 locations. We're still ramping up our global footprint through a robust pipeline of long term deals. This quarter, the international team had some exciting restaurant openings including our first four locations in India, and saw continued growth in the Middle East and Philippines as well as Mexico, where we just opened our 50th restaurant in Monterrey. We've also seen the brand embrace all over the UK with London's first location opening in early July. We now have more than 60 Tim Hortons in the UK and growing. This is on top of the incredible growth and market potential we've seen at Tim Hortons China, which opened store number 500 in mid-October, and is well positioned to continue its strong pace of growth. Meanwhile, in the U.S., we opened our first restaurant in Houston, Texas featuring a smaller and more optimized footprint with a streamlined menu. We've seen positive results from this restaurant with our cold beverage platform performing especially well in the market. It's been exciting to see guests around the world embrace the Tim's brand, and we're excited to continue introducing more guests to the Tim's experience. Turning now to Burger King U.S. We made continued foundational improvements this quarter across menu innovation, digital and operations and officially launched our Reclaim the Flame plan to enhance all aspects of the guest experience and advance sales in the U.S. As I mentioned earlier, we developed this plan in partnership with a diverse representative group of BK franchisees from across the country, who all had one thing in common. They have the respect of their peers and a dedication to address the needs of guests, franchisees, team members and the brand. The Burger King U.S. team and this group of franchisees met for months to collaborate on building a plan to address guest needs, accelerate sales growth, and strengthen long-term franchisee profitability. It starts with reclaiming a rightful Share of Voice in media and guest consideration, shoring up our brand equities and delivering on our brand purpose, the relentless pursuit of better for our guests. We kicked this off in October, bringing our brand purpose to life with a new campaign that repositions the brand and elevates our core brand equity, Have it Your Way, through the introduction of a modernized You Rule tagline. We've been very pleased with the response from franchisees, team members and consumers to this new relevant positioning that embraces individuality. It's been amazing to see so many guests wearing their crowns saying You Rule and breathing life into this campaign. The launch of You Rule also marked the start of our historic Fuel the Flame advertising co-investment. As a reminder, this corporate investment will total $120 million over nine quarters, starting in Q4, and should certain profitability thresholds we met at the end of 2024 and 2026, will be matched by a 50 basis-point increase in advertising fund contributions from participating franchisees through 2028. This co-investment plan has been endorsed and agreed to in near unanimous fashion, about 95% of franchisees have signed up for this co-investment plan. And it's designed to increase our media firepower, grow traffic and amplify the fundamental improvements we're making to the guest experience around menu, operations and digital. Another important element of the plan is our $250 million Royal Reset investment that includes two important components. First, a Royal Reset Refresh capital investment of $50 million in a restaurant technology, kitchen equipment and building enhancement refresh program; and second, the Royal Reset Remodel program that provides access to $200 million of funding for high quality, high return remodels. Together, we expect the Royal Reset Refresh and Remodel programs to touch roughly half of the restaurants across our system over the next two years. We're encouraged with the level of enthusiasm and commitment from franchisees to participate in the $50 million refresh, which includes a dollar for dollar matching investment from franchisees. We opened a two-week application processing mid-October and were oversubscribed before closing out the first week. Our field teams are now going through the diligence process of approving each investment request for kitchen equipment, building enhancements, and restaurant technology, prioritizing those that we believe will drive the greatest returns for each restaurant. Through this program we’ll help ensure our restaurants are in great shape as we continue to drive traffic back to the system. Our $200 million Royal Reset Remodel program has also been met with strong interest that gives us confidence in our ability to execute on this program, a very encouraging sign, especially given the current macroeconomic pressures facing many across our industry. We attribute this enthusiasm in large part to the quality plan the BK team developed together with our franchisees and to the unique and compelling incentives we're offering franchisees in the form of upfront capital upon completion of the remodel project rather than royalty or add some credits over time, as we've historically done. By providing incentives upfront, we're reducing our franchisees’ need to draw from other sources of capital to facilitate their investments. That being said, we recognize that many will need to tap other sources, and we're working with franchisees, those with and without strong financial footing today, and their lenders, to position them well for the future. With this program, we've also shifted our approach away from prioritizing restaurants with expiring franchise agreements, to focusing on those with the greatest potential to improve guest perception and traffic and drive the highest returns within each franchisee’s portfolio. I can't emphasize enough that our top priority with this program is quality over quantity. Our goal is to not only bolster the health of the system overall, but also create positive momentum for franchisees to further invest in their portfolios, over the long-term. In addition to the more thoughtful approach to the project selection, the program was also purposefully designed to incentivize franchisees to improve operations by providing more funding for those with stronger ops, as measured by a robust data-driven Franchise Success System. This incentive places a spotlight on the importance of operational excellence, which Josh will highlight later, and has opened the door for productive discussions with franchisees. Our field teams are working diligently with those focused on improving developing detailed business and execution plans and helping franchisees monitor their performance and troubleshoot along the way. For those without the level of engagement and capital necessary to improve their operations, image and overall business, this Royal Reset program in our Franchise Success System has also facilitated important conversations on path to reposition portfolios with more engaged and well-capitalized operators, including a strong lineup of franchisees and investors, interested in driving our Reclaim the Flame plan forward for the benefit of their business as well as the long-term benefit of our great brand across the U.S. Through Royal Reset Remodel and our broader Reclaim the Flame plan, we're laying the groundwork to transition and support a sustainable, long-term remodel program at Burger King U.S. with normalized incentive structures once our corporate investments roll off in 2025. Now to briefly touch on our results for the third quarter. We saw a 4% increase in comparable sales in the quarter, driven by the continued benefit from our emphasis on the Whopper, our compelling value platforms, the launch of the Burger King Royal Crispy Chicken, strategic pricing initiatives and positive contribution from digital channels with digital sales up 28% year-over-year. These benefits were partially offset by the lapping of 2 for $6 in the third quarter of last year. The launch of the BK Royal Crispy Chicken is a good example of us implementing important tenets of the Reclaim the Flame plan when developing new menu items. First, focus on high-quality menu innovation in core platforms; second, ensure consistent operational execution with minimal disruption; and third, develop more impactful advertising to break through the noise and clutter. The BK Royal Crispy Chicken platform strengthens our core in a product category, chicken, that's been a growth engine for the industry with a strong and well-tested product and a variety of great tasting builds. We have been very encouraged by the results to date including driving strong volumes with both, first time and repeat guests, and we are excited to innovate on this delicious premium sandwich in the future. I was pleased to see our efforts this quarter contribute to a further narrowing of the sales gap versus industry performance for the fourth quarter in a row. Now, it's time to diligently execute against our Reclaim the Flame plan in a collaborative and thoughtful manner alongside our franchisees. I'm confident that the powerful combination of brand repositioning, menu innovation, foundational operations improvements, our Fuel the Flame investment and the Royal Reset program will help drive the business into a sustainable, healthy position to support long-term growth for years to come. Now, turning to the Burger King International business, which continues to be a powerful driver for the brand's global growth, contributing 60% of the brand's global system-wide sales and approximately 55% of adjusted EBITDA during the quarter. The international business saw another strong quarter with comparable sales of 15% and consolidated system-wide sales growth of 22% comprised of over 25% growth in EMEA, nearly 30% in Latin America and over 11% growth from Asia Pacific. We continue to outperform our peers in key international markets with ongoing strength driven by a differentiated set of operating partners, attractive and modern positioning across markets as well as being a leader in advancing our digital capabilities and cultivating a seamless experience for our guests across service mode. Four of our largest markets, France, Spain, Australia and the UK generated double-digit comparable sales versus 2019, offsetting lingering macro pressures in China as a result of lockdowns and highlighting the benefits of having a geographically diverse business model. During the quarter, digital sales comprised over 50% of system-wide sales and grew 31% year-over-year, driven by strong contribution from kiosks and delivery. Key markets such as France, Spain, Italy and South Korea generated over 50% of sales through digital channels, while fast growing markets including Japan, Brazil, Great Britain, and Saudi Arabia saw over 25% of sales derived through digital channels. The variety of service modes we provide guests across our international markets creates an omni-channel experience that drives efficiency, brand affinity, and a higher digital sales mix, and we've been pleased to see our digital channels remain sticky in many of our markets, even as dine in returns. Our guest centric approach also extends to menu innovation where we've focused on developing exceptional and innovative plant-based offerings, which have proven to be a significant growth driver. Sales from plant-based items have proven to be over 80% incremental to the European business, and during the third quarter grew nearly 50% year-over-year. Since the introduction of our plant-based products in 2019, Burger King has introduced plant-based burgers in 70 countries and added more delicious items for guests to choose from, including the Cajun Veggie King, Vegan Nuggets, and Long Chicken. The hard work of our teams has helped Burger King become a leader in the plant-based market, and we're excited to see the momentum continue in our European markets and expand around the world. Turning now to Popeyes, whose remarkable journey since 2017 acquisition has helped fuel interest from new and existing franchisees to continue expanding the reach of the brand's authentic Louisiana flavors in both, the U.S. and abroad. Since 2017, we've added over 650 net new units to our existing home market footprint while leveraging our development expertise and master franchise model to bring nearly 400 new restaurants to international markets. The development team continues to take a proactive approach to franchisee format and site selection to capture the best opportunities and make Popeyes more convenient for guests. To this end, in North America, most openings in 2022 have been freestanding, single, or double drive-thru locations that not only offer more convenience for guests, but also typically deliver results ahead of the system average. A number of these openings have been in Canada, where we're adding convenience for Canadians by bringing Popeyes to new parts of the country with more accessible, freestanding drive-through locations. Since mid 2021, we've seen more than 50% of the new restaurants in Canada open with a drive-thru and this quarter we crossed the 300 store mark in the market. After another quarter of strong unit growth, Popeyes remains on track for record restaurant openings in 2022, building on recent development momentum in North America, while adding to its international presence in markets like Turkey, Spain, India, UK and Brazil. Meanwhile, the team is also preparing to bring Popeyes to major chicken QSR markets like Indonesia, South Korea and France in the months ahead. Our development momentum resulted in net restaurant growth of 9% and coupled with comparable sales of 3%, including 1% comparable sales in the U.S., led to system-wide sales growth of 12% for the third quarter. You've heard me stress before that making Popeyes more convenient to guests goes beyond development opportunities. We also need to ensure we're providing guests with a consistent experience across a diversified set of ordering modes and platforms. We've already seen the positive impact of enhancing a brand's digital presence on brand affinity and sales at Tim Hortons and have been making progress against these efforts at Popeyes. This quarter, our efforts helped drive a 33% year-over-year increase in home market digital sales, representing 80% of system-wide sales. As we look forward, we’ll continue to drive long-term growth of Popeyes through restaurant development, a well-rounded digital guest experience and consistent guest service improvements, which Josh will discuss in a moment, while remaining true to the brand's Louisiana heritage and delivering delicious high quality menu offerings to guests all around the world. And finally, Firehouse Subs, a differentiated brand strategically positioned to accelerate growth. Firehouse Subs maintained home market average unit volumes north of $920,000 on a trailing 12-month basis, demonstrating the strength of the system and potential for future growth opportunities. During the third quarter, Firehouse Subs saw net unit growth of 2.5% and relatively flat comparable sales while lapping incredibly strong prior year comparable sales performance of 15%, leading to a 3.8% year-over-year increase in system-wide sales. The brand continued to generate roughly a third of its sales through digital channels this quarter, aided by successful initiatives such as rewards week, which included seven days of exclusive offers and points for our firehouse rewards members. This was just one of the creative initiatives during the quarter to increase digital engagement, while delivering the high quality and flavorful products our guests know and love. I'd also like to highlight that the Firehouse Subs Public Safety Foundation remained busy this quarter and surpassed $71 million of grants awarded since inception. Now, I'll turn it over to Josh to walk you through some of the important work we've been doing to enhance operations across our brands. Josh?
Josh Kobza: Thank you, José. Today, I'd like to share some of the investments we've been making in operations and technology, and how they're positively impacting our restaurants, particularly here in the United States. Restaurants that provide a better guest experience will almost always outperform in sales and profitability over time. And we see this pattern consistently, both in our field visits and system-wide data. José and Matt have mentioned this in the past, but we've made a big investment to increase our field presence at Popeyes and Burger King in the U.S., and it is clearly having an impact. With more franchise business partners and operations partners on our teams, we can more effectively support our franchisees by helping them identify restaurants that need focus, and spending time in market with the restaurant general managers above restaurant leaders and team members to make a difference. I've seen this in a number of places recently from Indianapolis to Lafayette and Boston. With our recent investments, we have highly energized and experienced field teams who are fully dedicated to improving operations at the bottom performing restaurants they support. They're equipped with a clear scoring system aligned with our franchisees that we refer to as our Franchise Success System. These metrics enable us to identify which restaurants need help, and we have provided consistent data to everyone involved in order to identify areas of focus to improve. Now, restaurant general managers have near real time insight into guest feedback and can see where issues are arising. For example, they might see that the majority of guest complaints at the restaurant arrives on Saturday during late night and are related to speed of service, order accuracy or product availability. And they're now able to address this in a more targeted way. I visited a fantastic Popeyes last month in Leominster, Massachusetts, which was one of the focus restaurants for Popeyes to improve. And it was remarkable how quickly the manager Eddie has been able to turn things around. With the support of our field teams, he has drastically improved guest satisfaction and seen an improvement in comparable sales. There's no magic here, just bringing focus, tools, support and positive energy to running the restaurant as well as possible every day. The outcome of these investments in our field teams has been sustained improvements in our guest satisfaction scores at Burger King and Popeyes. We started first with Burger King and have seen consistent improvement in operational metrics alongside the narrowing of our sales gap to competitors that Tom and José have discussed at length. At Popeyes, we know that top operators can drive average restaurant sales 20% above bottom operators with an even wider gap from a profitability perspective. While we're earlier on our journey at Popeyes to bring more and more franchisees into this top operator bucket, we're already seeing improvement in ops metrics of roughly 20% since the beginning of this year, and I expect sales momentum will follow. The other topic I'd like to cover today is improving restaurant technology at Burger King. We spend a lot of time in our Miami company restaurants and decided earlier this year to do a comprehensive overhaul of all of the physical hardware in the restaurants in parallel with the rollout of our new proprietary POS system, rPOS. Those restaurants in many cases had very old POS hardware that was prone to freezing or crashing. Dated cabling that can lead to downtime for things like pin pads to process payments and many other frustrations for our team members and restaurant general managers. Today, all of our Burger King Company restaurants in Miami have updated POS terminals running rPOS, new kitchen display monitors, bump bars, indoor and outdoor menu board screens, upgraded internet and cabling throughout the restaurant and more. The restaurant teams are thrilled and can shift their time from solving technology problems to improving the guest experience, which is showing up an improved technology uptime to nearly 100% and roughly 30% higher guest satisfaction since 2021, driving same-store sales momentum. This positive experience in our company restaurants is a basis for some of the near-term initiatives in Burger King's Royal Reset plan, where we are partnering with our franchisees to bring the most important technology upgrades from 50 restaurants in Miami to thousands across the country as soon as possible. I'm really excited about this and our technology teams are thrilled to bring new equipment and better support to our restaurants. I'll wrap up here for today. And while this is not an exhaustive list, I hope these examples can give us some more granular insight into where our investments are going and how they can impact the business at a single restaurant and at scale. Now, I'll turn it over to Matt who will discuss our financial results for the quarter.
Matt Dunnigan: Thanks, Josh, and good morning, everyone. For the third quarter, excluding Firehouse, our global system-wide sales grew 14% to over $10 billion and our adjusted EBITDA increased approximately 10% organically, excluding an estimated negative 2% impact from Russia. Adjusting for differences in year-over-year ad fund timing, our organic growth rate would have been plus 11%. The largest driver of our gap between system-wide sales growth and organic adjusted EBITDA growth for the quarter was our continued investment in key areas of our business that are important to support the execution of our initiatives, deliver a better guest experience and drive sustainable profitable growth. This includes operations, as Josh outlined, as well as franchising in digital, and these investments led to a year-over-year and sequential increase in segment G&A to $92 million excluding Firehouse for the third quarter, which reduced our adjusted EBITDA growth rate by 2.4%. As I mentioned on our last call, as we continue to prioritize investments in our people and teams, we expect to see another modest sequential ramp in core segment G&A in the fourth quarter. Shifting to EPS. Our third quarter adjusted earnings per share was $0.96, which included a $0.10 benefit related to discrete non-cash tax benefits such as reserve releases for certain historical years. Excluding this benefit, our adjusted earnings per share was $0.86, compared to $0.76 last year, representing an increase of approximately 19% organically, excluding an FX headwind of negative 5% or $0.03 per share. During the quarter, our equity based compensation increased year-over-year to $34 million. As I mentioned last quarter, in 2021, we changed our incentive compensation framework to shift from five-year to market standard three- and four-year vesting. This change has contributed to the year-over-year increases in our equity-based compensation over the past few quarters and we would directionally expect a similar year-over-year trend in the fourth quarter. It's also worth noting that since the start of the third quarter, we’ve seen U.S. benchmark interest rates rise considerably, which flows through to the cost of our floating rate debt. When comparing current market forward rates for Q4 versus our actual rates in Q3, this would represent an increase of roughly 165 basis points. That said, over the past few years, we have been proactively refinancing, hedging and extending our capital structure to create flexibility and lock in fixed rates on approximately 80% of our debt for the next six years. As a result, the expected blended cost of interest on our total debt outstanding for Q4 has only risen by about 33 basis points versus Q3. Turning to our cash flow and capital allocation priorities. During the quarter we generated $374 million in free cash flow, allowing us to execute on key aspects of our capital allocation policy, including making important investments in our business and returning $243 million of capital to shareholders through our industry-leading dividend, which we declared again for Q4 at $0.54 per common share in unit, consistent with our previously announced target of $2.16 for the full year 2022. We also ended the quarter with a liquidity position of over $1.9 billion, including nearly $950 million of cash and saw our net leverage sequentially declined to 5.2 times. Going forward, our capital allocation priorities will be focused on the successful execution of our strategic brand investments, including our $400 million Reclaim the Flame program, and as José mentioned, our commitment to maintaining our existing dividend and looking to grow it on $1 per share basis over time as we grow our business. Given our focus on these priorities and a backdrop of rising interest rates, we also recognize the importance of being prudent and balancing returns of capital with delevering to enhance our financial flexibility. While we'll continue to evaluate share repurchase opportunities going forward, in the near-term, we intend to prioritize delevering toward a target net leverage ratio in the mid 4x area over the next two to three years, a level that provides for flexibility, should compelling strategic opportunities arise, while also reducing our cost of capital over time. We are fortunate to operate a very resilient and geographically diverse business with multiple bright spots with strong growth, as well as clear opportunities to drive significant improvements in Burger King U.S. over the next few years. The quality of our core business and the strong cash flow profile it generates provides us with plenty of flexibility to execute against our priorities, and drive long-term sustainable growth. As we look to close out the year, we remain confident in our ability to execute on our key initiatives, which are building sales momentum in our home markets and around the world, accelerating our global unit growth, leveraging recent investments in our field teams, technology and equipment to improve operations, utilizing technology to enhance the guest experience and making strides against our Restaurant Brands for good plan. With that, I'd like to thank everyone again for your support and for joining us this morning. And we’ll now open the line for questions. Operator?
Operator: Thank you. [Operator Instructions] Our first question today comes from Dennis Geiger from UBS.
Dennis Geiger: Great. Good morning, and thanks for the question. Wondering if you could speak a little bit more to the global outlook given the current macro pressures as well as the strength of the brands around the world. And if you could touch on sort of BK International, kind of José, you mentioned at the beginning kind of getting back to historical levels there. Just kind of anything more on that business and the unit growth would be would be helpful. Thank you.
José Cil: Hey, Dennis, good morning and thanks so much for the question. Yes, on our global outlook from a development standpoint, we have a diversified and well-capitalized group of partners domestically and especially internationally with a really strong growth mindset over the years internationally. They got mentioned this in the past. I've sat on the boards of many of our master franchisees that are also joint ventures and now our talented international folks are doing this. And we have visibility into their teams, their sales, their growth, their profitability, their paybacks, their capital structures. And what kind of drives our confidence in the pipeline long-term and our growth outlook for the long-term is that there's strong returns on invested capital in our businesses. Our franchisees and our teams are excited. They're committed to growth, because of the strong returns. They're moving forward and they're excited about growth and they've got good pipelines because of that, not because of some contract that they've signed. Obviously, the macro environment, commodities, construction costs, high interest rates, these are part of the conversation. And what I think is positive here is that the franchisees that we work with closely on development, they look at this not as victims, but moreover -- more like owners, right, they're trying to figure out how do we tackle it, how do we address these challenges and continue on our growth journey. And so, when we look back and pass these near-term pressures, we focus on the long-term, and we were excited about the growth. We see strong paybacks in many of our international markets. BK and Tim's UK, as an example, are seeing about three-year payback on new store development. Tim’s Mexico as another example is about four years, Burger King Korea about three years, Burger King Germany about three years as well. And we'll see some volatility from quarter-to-quarter. That happens. And I've said it before, that's part of the process of building new restaurants. We've got to find sites, there's getting property control, designing plans, permitting, licensing, construction, most of this requiring local municipal approvals, and all of it or most of it through third party contractors. We're confident in the pipelines that our franchisees are building, confident that we have a pipeline to deliver exciting unit growth this year ahead of where we were in 2021 and to continue to accelerate in '23 and beyond. One more common, I think, to you, the second part of your question is that the mix of growth is shifting. 2017 to 2021, BK drove about 70% or just over 70% of our net restaurant growth. Currently, an LTM, it's approximately 45%. So, Popeyes and Tim's have doubled their contribution to net restaurant growth on an LTM basis versus five years ago. Popeyes, we've seen acceleration domestically, we've seen acceleration internationally, we're going to have the record year of openings in North America here in 2022. And Popeyes rest of world energy is up 3 times versus where it was in 2017. And we're developing in Spain, Philippines, UK, India, Mexico we've signed new deals, in South Korea, France, Indonesia, that will start contributing in the coming quarters. And Tim Hortons, we've seen success in Middle East Mexico, India, UK, China. And BK International is ramping up to pre-pandemic levels. The biggest gaps to those levels of growth are in China and Russia. And we all know why those have slowed or stopped. And one final note is that we're just getting started with Firehouse, which we believe will be an exciting long-term contributor to net restaurant growth and overall system-wide sales growth here domestically as well as internationally. So, we're confident about the long-term, lots of work to do, working closely with our franchisees, and look forward to keeping you updated on our progress. And Matt, you might want to add.
Matt Dunnigan : Yes. Dennis, just maybe to add a little bit more color, I think as José mentioned, we have really great growth that we're seeing very exciting in the international business and it has become more meaningful over time, which is why we called out the headwind that we saw in Q3 from FX with USD strengthening, basically across the board. But just to quickly add a little bit more color on that. In Q3, we saw an impact of about $26 million in EBITDA that's what I called out is the impact that flowed through to EPS, in the prepared remarks. And just for some perspective on that, based on our business mix, a 1% change in euro has about a $1 million EBITDA impact to us for a quarter. And a 1% change in the Canadian dollar in terms of depreciation versus USD, that's about a $3 million quarterly EBITDA impact. So, FX rates have been moving around and have been quite volatile. But based on where we are quarter-to-date, we directionally expect to see some sequential increase in those headwinds based on current FX rates.
Operator: Our next question today is from David Palmer from Evercore. Please go ahead.
David Palmer: Yes. Thanks. You made a comment in the prepared remarks about macro pressures impacting franchisees, including the higher interest rates and commodities, wage inflation. Are there regions or brands where pressure to cash flow is particularly acute? And where -- what steps can you take, and are you taking in these instances? And what implications are there for Restaurant Brands earnings and free cash flow and shareholders? Thanks.
José Cil: Hey, Dave. Thanks for the question. Look, I think it's clear that it's been challenging the last several quarters and probably last 18 months or so. I think the silver lining or the positive news here is that we are seeing pockets of moderation in commodities and labor. All that said, tough year across the industry for sure. Our franchisees are feeling the pressure. Our guests are also feeling the pressure. And every conversation I've had with franchisees here in the U.S. and Canada and also in Europe and other international markets, quickly turns to the volatility and a tremendous pressure that they and we all are feeling in our restaurant level margins and then, what are the steps we are taking to address it. And it's a huge area of focus for our team. We are working together with our franchisees on this. And some of the measures to offset these cost increases include continuing to use our scale and buying power to smooth out the choppiness of commodity increases that we are seeing in domestic markets as well as internationally pricing, but doing it strategically and understanding obviously the elasticity of demand and making sure that pricing flows through at the highest possible levels, looking at many architecture and managing mix to ease pressures on margins and we have examples of that including what we did with Burger King earlier in the year on removing the Whopper from the 2 for $6 platform and having -- seeing increases in margins, while still communicating that's an important value platform. We are managing efficiencies through simplification that help our owners operate more effectively and efficiently. And in some cases, we are looking at ways to help restaurant owners with working capital during seasonally low cash flow periods. These are things that we are working on to help the team and the franchisees in the near-term. And despite these challenges, we believe based on our outlook that profitability and cash flows are moving in the right direction. Tim Hortons’ owners are certainly facing in Canada near-term pressures but improving in the outlook for the first quarter of 2023 and beyond is positive and significantly improving versus where we were in '22. Tim's remains one of the most profitable QSR concepts even despite these near-term pressures. And I keep telling the Tim's owners to keep working together with our team and keep working hard in the restaurants. They're doing an awesome job and the plan is working and cash flows will continue to improve. Burger King is making progress stabilizing profitability and cash flows as well. And Reclaim the Flame plan is starting to address the key driver to a healthy and profitable business, which is top line sales growth. And we're proud of the work that BK U.S. system is doing along with our team. And master franchisees internationally are generally healthy and well capitalized and are availing themselves of many of the tools I mentioned previously. So, our key area of focus will continue to be to drive top line profitable sales by giving the guests what they want, and then providing these tools that I've shared, and keep working closely with our franchisees to make sure we address and deal with the near-term pressures. Thanks a lot for the question.
Operator: We now have a question from Brian Mullan from Deutsche Bank. Please go ahead. 
Brian Mullan: Just question on Burger King U.S. Specific to the Royal Reset Remodel program, can you just speak to the speed or the cadence with which you can maybe start to deploy that capital? José from the prepared remarks, it sounds like you were oversubscribed from a franchisee application perspective. I guess, could you speak to how quickly you're able to approve them or speak to a roadmap of when there might be critical mass of projects underway, and when you could realistically expect to see some sort of sales lift from all this? Thank you.
José Cil: Hey Brian, thanks for the question. Yes, we have -- recall that we have two components to the Royal Reset, one is kind of the near-term refresh, which is 50 million -- but we allocated and it's a match of up to $50 million. And then, we've got the kind of more midterm full remodel program where we're contributing capital as we've laid out in detail in our previous communications. What was exciting and what I shared in my prepared remarks is that we've got a lot of enthusiasm and excitement in the system behind both of those programs. And we've got the -- near-term we had a two-week window of applications for the Royal Reset, the $50 million program. And that was oversubscribed very quickly. And now the teams are working through the specific plans for each of the restaurants, each of the franchisees and where we'll match. And our plan there is to deploy as quickly as possible. And we should expect to see that those investments in restaurants, they're going to be equipment investments, they're going to be exterior drive through and kind of physical plant investments, as well as technology investments, all of which we expect to see to start making impacts in the business in the near-term.  And then, over time, we'll continue to work through the pipeline of remodels, full remodel scrapes and rebuilds, et cetera, as we've laid out in our detailed plans. That will take a bit more time as those require permitting and in many cases will require approval to obviously locally in municipalities and that takes a bit more time. So, that's just to highlight the details of the plan and the excitement we have behind it. The other point I'd make is that on the Fuel the Flame plan on the marketing front, we made -- we announced the 95% of franchisees on board with the program, signing up for the co-investment, assuming that hurdles that we've laid out have been met. And we continue -- and we just started that program now in October and we look forward to continuing to update all of you on the progress we're making there. Thanks a lot for the question.
Operator: Our next question comes from John Glass from Morgan Stanley. Please go ahead.
John Glass: If I could also just follow up on the Burger King U.S. system. At times when you have modernization efforts, like you're going through, you start to see some closures. Some franchisees maybe don't want to do that, for example. Do you see that as a potential? I recognized you closed stores a few years ago. So, one on that. And can you also just remind us on the franchisee base in the U.S. How many franchisees there are, what the average store per franchisee therefore there is? And you talked about maybe changing or switching over the franchisee ownership for those owners who maybe don't want to invest to those who do. What percent of the system do you think will change over -- change hands over the next few years based on this, or do you have a goal for that? Thanks.
José Cil: Look, I think on the franchise question in the U.S. for BK, broadly speaking, I think what's exciting, as I mentioned earlier in response to Brian's question, is that there's a lot of -- there's appetite to invest and there's excitement behind the plan. We've got a lot of support behind the Fuel the Flame component to the plan. We've got support behind the Royal Reset with over subscription. And we have traction behind the Remodel program. Financial health is factored into -- was factored into how we develop the program and which is why we put -- we leaned into these greater incentives for remodels and providing upfront cash in addition to this dollar for dollar match on the royal near-term reset program. We have a deep bench of franchisees in the U.S. that are well capitalized that run really good restaurants. It happens. It's not unique to this moment, but it happens from time to time that the franchisees have financial and/or operational difficulties. And we've worked with them closely, alongside, in some cases, their lenders to identify the best solutions. And for some franchisees, selling is the best option. And we have a team dedicated to that process. We have a pipeline of new operators and franchisees that are quite interested and excited about the long-term prospects of the Burger King brand in the U.S. and are prepared to step in and acquire restaurants where appropriate. Closures and turnover are part of the portfolio optimization process. As we've said before, we don't expect any kind of outsized closure program. We have -- we saw some additional closures outside the norm in 2020. We'll continue to work with our franchisees on making sure that we've got really good plans focused on guest improvements and guest experiences and driving top-line sales and improving their profitability. And one other thing that I think is important is we've highlighted as Tom has mentioned in the past, the importance of operations. Improving ops is a key part of our plan. And we've added a lot of transparency and data to our operations process -- improvement process. We've got a Franchise Success System, and we've added field teams to improve and help with monitoring and developing plans with franchisees. We're now in the midst of ramping up and getting ready for general manager -- restaurant general manager rallies and team member training as we head into 2023. So, all in, we're excited about the long-term plans and we'll continue to work with our franchisees. I think the base of franchisees is around 500 in the U.S. And we've got -- it's hard to give you -- there's an average per franchisee in terms of restaurant count, but we’ve got a lot – we’ve got some large franchisees and we have a large number of smaller operators as well. And our view is to work with each one of them and address each of their opportunities and challenges to make sure that they can deliver on the plans that we’ve worked together on and that they drive profitable growth in their business as well. Thanks so much for the question.
Operator: Our next question comes from Chris Carril from RBC. Your line is now open.
Chris Carril: Hi. Good morning and thanks for the question. So just following up on Josh's prepared remarks, how far along do you think you are in your efforts to improve ops across the BK and Popeyes U.S. systems? And are you expecting any further investment behind field teams and overhead support to continue to drive those efforts? I know, Matt, you had mentioned a modest sequential ramp in core segment G&A in the 4Q. So, just wanted to confirm if that's related to these investments that Josh has discussed. Thanks.
Josh Kobza: Hey Chris, it's Josh. Thanks so much for the question. As you mentioned, we have made big investments in the field teams and in the processes and kind of measurement systems that backs up all of the work that they do every day. And I think we are really pleased with the initial progress there. I think I would characterize it as a very long journey. When you are trying to make big operational changes in these very large systems, it's something that you have to do very consistently over a long number of years, and that's the time horizon that we have for it. But I would say that we and all of our teams are really pleased with the initial performance. We’ve already seen results across both, Burger King and Popeyes. And I think we have a lot of buy-in, both across our teams and the franchisees teams about the way that we are measuring and the way that we are managing and supporting the systems. I'd say, the vast majority of the investments have already been made. So, we have a lot of the field teams in place. We may make a couple of small tweaks as we go into next year, but they are relatively minor. So, I think really great initial progress, really thankful to the teams and the franchisees, who are working together so well on that front, but something that I think we need to be persistent about over a long period of time to really move both of those systems in the right direction.
Matt Dunnigan: Yes. I think just on your point around G&A, I think you are spot on there, the comments that we shared, we do expect some modest sequential ramp in G&A, and that does relate to these continued investments in operations and franchise development and in technology as we look to move into next year.
Operator: Our next question comes from Nicole Miller from Piper Sandler. Please go ahead.
Nicole Miller: Thank you. Good morning. I wanted to ask about Tim's Canada and Burger King U.S. The question is, any momentum you saw post Labor Day essentially return to office? And anything you could share again in terms of any of the brands frankly, but most importantly, Tim's Canada and Burger King U.S? Thank you.
José Cil: Hey Nicole, thanks so much for the question. On Tim's Canada, we were and remain very excited about the progress we are making on the back to basics line and kind of the second phase of that, which is all about driving PM food as well as cold beverages. We saw a 300 basis-point sequential improvement this quarter and same-store sales, so 5% versus where we were the last few quarters versus ‘19. And a lot of that came from core offerings and some of the initiatives, PM foods being a key driver of that. We had the loaded platform, which was incremental to our business. We saw 2% contribution, roughly 2% contribution to our year-over-year sales, same-store sales increase of 11% coming from the loaded platform. And in September, comparable sales for main foods was up 50% versus 2019, sequentially improving throughout the quarter. Main foods is now over 13% of sales, it was less than 10% back in the same quarter 2019. And now, just north of 10% of our tickets include PM food, versus about 7% of those tickets before the launch of the loaded platform, which -- all of which is to say that it's a good start, not a victory lap. But the confirmation that when we get food quality right, develop craveable food and our owners execute well, we can grow our PM food business and our PM dayparts. And it's confirmation that we have a big runway in front of us. On the on the beverage side, total cold beverages are 14% versus 2019 levels. But we -- back then we had a very strong, ice -- we still do very strong ice cap business, we've had it for many years. And that contributed to nearly half of cold beverage sales back in 2019. If we exclude iced cap, cold beverage grew nearly 80% versus Q3 2019 all driven by the new cold brew and our Quenchers. And the total shift in cold beverage as a percentage of total beverage sales is up 600 basis points versus where we were back in 2019. All of which to say that the core plan is working that we did see some improvements in mobility in the quarter. Our super urban locations, which those locations in the city centers, like Toronto and in other big city centers, improved to minus 5% versus 2019, up from the low point versus '19 was minus 40%. So, we continue to see those urban, suburban locations improve. But to be clear, we're not -- mobility remains a challenge and we're not waiting for mobility to come back. It's not the kind of the crux of our plan. The plan to grow and drive profitable share gains is a plan that we want to implement in any environment. And we have multiple service modes, which is why our investments in digital are so important and continue to pay huge dividends for our business, especially at Tim's in Canada. And with Burger King in the U.S., there is some mobility kind of seasonality that happens from time to time but our progress in the quarter, we believe was a function of better plans, better execution and operations from our franchisees and a better media mix that the marketing team is and the media team are working on, combined with improvements in digital as well, all of which are kind of the core elements of the Reclaim the Flame plan that we've shared in the past. Thanks so much for the question.
Operator: Our final question comes from Brian Bittner from Oppenheimer. Please go ahead.
Brian Bittner: Thanks for squeezing me in here. I'll shift to the Burger King rest of world business where you continue to showcase very strong underlying same-store sales trends, I believe. This quarter you were still 20% above pre-pandemic levels on the same-store sales. That's really best-in-class amongst your international QSR peers. Do you believe that the Burger King brand outside the U.S. is well positioned in an environment where maybe international consumers navigate tougher economic waters? Could Burger King actually benefit from a trade down internationally, or how do you frame your outlook for that Burger King brand rest of world, if the international macro continues to become more challenged?
José Cil: Yes. We're very excited with the progress we're making in our international business with Burger King. We're seeing the brand and the business outperform peers internationally. On average, for the last five quarters in a row, we're the leading brand in many markets in terms of preference, and in some cases, as well, in terms of restaurant count or both. France and Spain are examples. We've seen our business grow to north of $1 billion in system-wide sales in places like France and Spain. In France, it's gotten -- we had $0 in system-wide sales back in 2013. And today, we have a business that's nearly $2 billion in system-wide sales. I think the business has gotten stronger, post-COVID, six quarters of double-digit, same store sales and system-wide sales growth. In the top five markets for us internationally have grown over $900 million in system-wide sales, versus 2019. So, we've gone from basically $5 billion in system-wide sales in those markets to $6 billion. And a lot of it has come from the progress and improvements we've made in the off-premise business. Our digital is getting stronger. We're building more drive-thrus. And we've actually adopted our service modes to adjust to the customer behaviors. And that's remained sticky. And dine-in is coming back as well. And I think we've got really strong quality cues in many of our markets, the Whopper is strong, Have it Your Way is strong, and the preference to the brand for all these reasons, including more modern image, digital being at the center of the business model internationally. We've leaned into plant-based quite a bit. I mentioned some comments on that in my prepared remarks. All of which is showing really good progress. And I think we're well positioned in any environment, and especially in the current environment to be able to utilize the foundation of a modern system, strong digital, great brand perception, strong value offerings, and really strong core and premium offerings and continued menu innovation, including plant based. The final note on that is we have awesome master franchisees and great teams, and they are super excited about the progress they're making. And you gain momentum when you see that type of progress. And we can -- we look forward to continuing to update everyone on the progress of our international business and as well as the rest of our amazing brands domestically and internationally.
José Cil: And with that, I'd like to thank everyone for your questions and for participating on today's call. We're incredibly proud of the progress that we continue to make at Tim Hortons in Canada, our outsized performance at BK International, as I just mentioned, and our ongoing development progress and the work -- the great work we're doing, continuing to make steady improvements at Burger King U.S. and the excitement that exists with a franchise community around Reclaim the Flame plan alongside our franchisees. Popeyes, Firehouse as well, internationally, domestically, are in a really good place to continue the growth trajectory. And I'd like to close by thanking our team, our franchisees and owners and their team members for their contributions and continued dedication as we work towards our big dream of building the most loved restaurant brands in the world. Thanks again for joining us and have a great day.
Operator: This concludes Restaurant Brands International Inc. third quarter 2022 earnings call. You may now disconnect.